Operator: Good day, ladies and gentlemen. And welcome to the Haemonetics Corporation Q3 2016 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Gerry Gould, Vice President of Investor Relations. Sir, you may begin.
Gerry Gould: Good morning. Thank you for joining us for Haemonetics' third quarter fiscal 2016 conference call and webcast. I'm joined today by Ron Gelbman, Interim CEO; Kent Davies, Chief Operating Officer; and Chris Lindop, CFO. Please note that our remarks today will include forward-looking statements. Our actual results may differ materially from anticipated results. Additional information concerning factors that could cause results to differ materially is available in the Form 8-K we filed today, as well as in our recent 10-K and 10-Q filings. On today's call, Ron will discuss highlights of our business performance, and Kent will provide more detail and the important trends in our commercial operations in the third quarter and year-to-date. Chris will cover financial performance and key elements of our outlook for the business. After some brief closing comments, we will take your questions. Before I turn the call over to Ron, I would like to mention the treatment in our adjusted results of certain items which by their nature and size affect the comparability of our financial results. Consistent with our past practice, we've excluded certain costs and charges from the adjusted financial results which we'll talk about today. In the third quarter and year-to-date fiscal 2016, we excluded certain non-cash intangible asset write-downs in the reversal of related contingent consideration. And in the third quarters and year-to-date periods of fiscal 2015 and 2016, we excluded pretax transformation and restructuring costs associated with our Value Creation & Capture or VCC initiatives and related tax effects. The earnings information discussed for all periods excludes deal-related amortization expense. Further details of third quarter and nine months fiscal 2016 excluded amounts, including comparisons with applicable periods of fiscal 2015, are provided in our Form 8-K and have been posted to our Investor Relations website. Our press release and website also include a complete P&L and balance sheet, and a summary statement of cash flows as well as reconciliation of our GAAP and adjusted results. With that, I will turn the call over to Ron.
Ron Gelbman : Thank you, Gerry and good morning. Over the past four months I have had opportunities to meet with a number of Haemonetics investors and analysts. Several questions have consistently arisen around the status of both our CEO search and our comprehensive business portfolio review. Both processes is continued to move forward on parallel path and I will provide an update after we've given you some detailed information on the third quarter and the rest of the year. We noted last quarter that we have two fast growing franchises. Plasma and Hemostasis Management which today is the TEG family of products. These two franchises and our important China market have been delivering strong constant currency growth which continued through the quarter. Overall, it was a pretty good quarter. Revenue grew 4% on a constant currency basis on the strength of encouraging performances in the Plasma and Hemostasis Management franchises. And we have revenue growth on a constant currency basis in the Americas, Asia Pacific and Europe. Our Plasma franchise delivered 14% constant currency growth in the third quarter. Our initiatives in this business are focused on optimizing collection, productivity and yield and addressing specific high valued customer needs. Together we continue to keep pace with robust growth in the end market for Plasma derived biopharmaceuticals. We installed over 4,000 Plasma collection devices over the past three years and that pace is accelerating with nearly 1,700 devices installed so far in fiscal 2016. Having recently launched our next gen plasma collection software, our new collection device is on-track for commercial introduction early in fiscal 2018. We expect this combination to deliver differentiated value in each plasma collection event. Our ability to bring valuable products and services to our customers leads us to expect continued plasma growth above end market rates over a five year strategic horizon. Our Hemostasis Management or TEG franchise is well positioned and on an excellent growth trajectory with 18% constant currency growth in this quarter. We are maintaining momentum with our legacy TEG 5000 device even as the limited market release of the new TEG 6s device is ongoing. We expect our TEG family of products TEG 5000, TEG 6s and TEG Manager to continue to deliver and in fact accelerate growth with existing and new customers on the strength of continued global market penetration. We also had a positive third quarter performance in China with 9% disposables growth in constant currency. While TEG made up a good part of that growth, platelet comprise over half of our business there and we also enjoy solid platelet growth in the third quarter. The China healthcare market continues to be very exciting, focused on increasing access to an expanding portion of the population. Now I'll turn the call over to Kent to provide more details about our business performance. 
Kent Davies : Thank you, Ron. And good morning, everyone. This morning, we reported results for our third quarter of fiscal 2016, and we confirmed our previous full year revenue and adjusting earnings guidance ranges. Revenue was $233 million in the third quarter, up 1% as reported and up 4% in constant currency. Our growth drivers of Plasma, TEG and Emerging Markets account for 65% of disposables revenue. In constant currency, these three business elements had combined growth of 12% in the third quarter. Drivers include Plasma disposables up 14%, TEG disposables up 18% and Emerging Market excluding Russia up 9%. In the third quarter, Plasma disposables revenue was $92 million, an increase of approximately $9 million or 11% as reported and 14% in constant currency. Shipments of saline and sodium citrate to CSL contributed about 4 percentage point of overall Plasma growth in the quarter. Additionally, Plasma growth was realized in Australia, Europe and Japan with softness only in Russia. In the third quarter blood center disposables revenue declined $6 million or 7% to $78 million. Excluding the impact of currency blood center disposables declined by 4%. Platelet disposables revenue was $38 million in the third quarter, flat with last year as reported but up 4% in constant currency due to emerging market's growth. In Japan, our increased market share of single dose collection was offset by the ongoing shift towards our competitor's double dose platelet technology. Red cell disposables revenue was $9 million, down $2 million or 15% as reported and 14% in a constant currency versus last year's third quarter. Our Red cell results were influenced by a new long-term contract with the American Red Cross to achieve 100% of the double red cell business. This means an increase in volume at a lower price. Pricing concessions granted in advance of anticipated volume gains in that agreement represented a majority of the third quarter's decline. Whole blood revenue was $30 million in the third quarter, declining $4 million or 12% and down 10% in constant currency. Whole blood revenue was $20 million in Americas, $7 million in Europe and European distribution markets, and $3 million in the Asia Pacific, and Japan markets. The ongoing macroeconomic challenges in Brazil and Russia affected our results. North America whole blood revenue continues to be impacted by decline in the US Red cell transfusion rate for approximately 10% in each fiscal year of 2014 and 2015. That rate of market decline has slowed is fiscal 2016 and appears to be trending within the 5% to 8% range we previously communicated. Sales of whole blood products to US blood centers now represent less than 7% of our consolidated revenue. Hospital revenue was $31 million, essentially flat with the prior year third quarter. Excluding the impact of currency, hospital revenue grew by 2% in the third quarter and 3% year-to-date following 1% in fiscal year 2015. Strong TEG momentum provided growth that more than offset declines in orthopedic cell salvage. We had record TEG disposables revenue with $13 million in the third quarter, up 17% as reported and up 18% in constant currency. We continued to see strong growth of TEG 5000 devices and disposables even as we conduct the TEG 6s limited market release. Globally, customers continue to recognize the value of this innovative Hemostasis Management technology. The limited market release of TEG 6s in our new TEG Manager software is ongoing, following the previously announced regulatory approvals. Over the past three fiscal years, we sold nearly 1,900 TEG devices and nearly 600 in the first three quarters of fiscal 2016. Surgical disposables revenue was $15 million in the third quarter, down 3% as reported but up 2% in constant currency. In the first three quarters of fiscal 2016 surgical disposables revenue was up 1% compared with the prior year period in constant currency. An important product enhancement to our Cell Saver Elite which will enhance its ease of use and processing capabilities is currently in customer acceptance trials. Software Solutions revenue was $18 million in the third quarter, flat as reported, and up 2% in constant currency. Initial customer interest in our BloodTrack HaemoBank system remains encouraging and it had good growth in North America and Europe in the third quarter. Equipment revenue was $14 million in the third quarter and $38 million in the year-to-date period. Our installed base of equipment, which is the combination of purchased and placed devices, increased 6% over the last 12 months. The installed bases of Plasma and TEG, two of our growth drivers, had increases of 10% and 16% respectively over the same trailing 12 months period. Before I turn the call over to Chris, I'd like to address a few important revenue items that continue to underlie our fiscal 2016 guidance. Our Plasma team continues to execute at a very high level while serving the expanding end market for collection equipment and disposables, the team recently began shipping saline and citrate solutions to our largest plasma customers. We have modestly increased our full year outlook for Plasma revenue. Hemostasis Management continues to grow. We are pleased with our trajectory and remain excited about the prospects for our growing TEG franchise. We had $13 million of revenue in Russia in the first three quarters of fiscal 2016, down $9 million or 40% from a year ago, economic stress and political uncertainty continues in that region. Meanwhile China continues to perform and we see our presence there as an important platform for growth. The shift in the Japan platelet market continues with a greater reliance on double dose collection techniques. Today this represents about 15% of collection procedures in Japan and it is a trend that we are monitoring closely. All these means reduction in the market utilizing the traditional single dose technology, we enjoy an increasing majority of market share. In Software, BloodTrack HaemoBank revenue had positive growth in the third quarter while we continue to believe in prospects for growth of this differentiating platform other elements of our software offering are not growing as rapidly as previously planned so we have decreased our software growth expectations for the full year. In summary, with some modification of the mix of revenue elements, specifically the strength in Plasma and some offsetting weakness in software, we've reaffirmed our full year revenue and earnings guidance ranges. With that I'll turn the call over to Chris Lindop. Chris?
Chris Lindop : Thanks, Kent. As previously stated, in the third quarter, total revenue was $233 million, an increase of 1% as reported and 4% on a constant currency basis. Currency impacted revenue by roughly 300 basis points as it has throughout fiscal 2016. During the quarter we had constant currency growth in all geographies except Japan. Strong growth in U.S. Plasma and TEG disposables revenue along with modest growth in platelet and surgical disposables more than offset declines in Blood Center disposables on a constant currency basis. Adjusted gross profit was $110 million, down 4% or $4 million year-on-year. A $7 million currency headwind was included so gross profit increased 3% in constant currency. Third quarter adjusted gross margin was 47.1%, down 210 basis points. On a constant currency basis, gross margin declined only 30 basis points compared with the third quarter of fiscal 2015. Benefits from our growth drivers and VCC initiatives were offset by lower pricing and share in our North American Blood Center business and unfavorable product mix. Adjusted operating expenses were $75 million as reported, down $1 million or 1%, as compared with the prior year's third quarter, but up $2 million or 3% in constant currency. Savings from organizational and corporate cost reductions permitted ongoing investments in higher impact growth initiatives. Notably, R&D spending increased $1 million to 4.6% of revenue. Adjusted operating income was $35 million in the third quarter, down $3 million including a $4 million headwind attributed to currency. On a constant currency basis operating income was up 3%. Adjusted operating margin was 15% in the quarter, down 160 basis points as reported but down only 10 basis points in constant currency. Adjusted interest expense associated with our loans was $2 million in the third quarter. Our tax rate was 25% in each of the third quarter's fiscal 2016 and fiscal 2015. Adjusted earnings per share were $0.48, down $0.05 or 9%. We ended the first three quarters with $105 million of cash on hand, down $55 million from our fiscal 2015 year end. We used $31 million of cash, net of tax benefits for VCC and other restructuring, and $61 million for the repurchase of shares in the open market. We also announced two non cash asset write-offs today. First, we've recently performed our goodwill impairment test with inputs from our annual strategic planning process. The bulk of this goodwill arose from the Whole Blood acquisition in fiscal 2013. We established revised long-term expectations for revenue income and operating cash flow. As a result of this analysis, we determined that a write-down of goodwill was required. A non cash goodwill impairment charge was $66 million was recorded in our European reporting unit in the third quarter. Second, during the third quarter we updated our assessment of the market potential for the SOLX technology and concluded that it was no longer commercially reasonable to bring this technology to market. We recorded a $14 million net non-cash charge in the third quarter of fiscal 2016, to write down intangible assets and contingent consideration resulting from the SOLX acquisition. These non-cash accounting charges totaled $80 million pretax or $73 million after tax so $1.44 per share. It's important to note that these charges will not impact our liquidity, cash flows from operations, future operations or compliance with their covenants. They are not in anyway intended to be indicative of the results that will come from an ongoing business portfolio review and they are excluded from our adjusted earnings. Turning to the full year, we reaffirmed our previous fiscal 2016 revenue guidance as Kent noted in the range of $910 million to $920 million, including the benefit of a 53rd week. With about 300 basis points of headwind attributable to currency trends, revenue growth of approximately 4% is expected on a constant currency basis. As we approach yearend, we made fine tuning revisions to components of our fiscal 2016 revenue outlook increasing the plasma and decreasing software solutions revenue outlooks. The resulting elements of revenue guidance are as follows. Revised expectation for Plasma disposables growth of 12% to 13% in constant currency reflecting strength in the Americas. While we've experienced some delays, we expect to meet our targeted annual run rate of saline and sodium citrate shipments under the CSL contract by the end of fiscal 2016. Blood center disposables are still expected to decline 5% to 7% in constant currency. Hospital disposables are still expected to grow 4% to 6% in constant currency. Software Solutions growth expectations of 3% to 5% in constant currency reflect a further recognition of the revised timeline for market penetration of new products and softness in other parts of our software portfolio. Our full-year guidance for adjusted gross margin remains at approximately 47%; unfavorable mix and currency are expected to continue offset benefits of VCC initiatives and other structural cost improvements. Adjusted operating margin is still expected to approximate 14%. Our guidance range of adjusted earnings is reaffirmed that $1.65 to $1.75 per share. An anticipated currency headwind to our earnings growth rate of about 900 basis points reflects the rates at which we've hedged our fiscal 2016 foreign earnings. In constant currency, we expect fiscal 2016 earnings growth of approximately 4%. As in the past, our website includes revenue and income statement scenarios which are based on the elements of the fiscal 2016 guidance provided. We are refining our expectations for fiscal 2016 adjusted free cash flow to approximately $70 million before funding, $34 million related to our VCC initiatives. We realized $8 million of incremental VCC savings in the first three quarters of fiscal 2016 and we expect to reach an approximate $40 million cumulative cost savings rate by the end of this fiscal year. As I've explained before VCC savings realized to date have offset disclosed business adversities including currency and volume reductions and pricing concessions in our North American donor business. The potential for incremental VCC savings that could be realized beyond fiscal 2016 will be evaluated as part of the ongoing strategic of our entire portfolio of business. Regarding fiscal 2017, we expect to provide guidance when we have our annual Investor Day in early May. There are, however, a number of items I provided previously for your consider in preparing fiscal 2017 estimates. Currency still expected to have a negative impact on operating earnings in fiscal 2017 currently estimated to be approximately $12 million. Obviously fiscal 2017 will not include the 53rd week that will benefit fiscal 2016. Customer input and our observation suggests the continuation of whole blood collection declines into fiscal 2017. Though we continue to expect that rate to moderate over time. Our red cell apheresis business in the U.S., price reductions at the American Red Cross and other share losses will have a negative impact on fiscal 2017 operating earnings of about $10 million as compared to fiscal 2016. We are monitoring the market shift towards double dose platelet collections in Japan which may have a negative impact on our fiscal 2017 operating results. On the positive side, we continue to expect double digit revenue growth in our Plasma business enabled by continued strong US market growth and a full $25 million of saline and citrate revenue under our previously disclosed agreement. We also expect to see another year of significant growth for the TEG business consistent with meeting our long-term growth expectations for Hemostasis Management. We continue to have a strong balance sheet and free cash flow which gives us confidence in our ability to weather the short-term challenges and to exploit the important strategic opportunities that remain ahead of us. With that I'll turn the call back over to Ron. 
Ron Gelbman : Thank you, Chris. As many of you know, our Board of Directors is conducting a search for a permanent CEO. And that process is moving along well. It is highly likely that we will complete this well before our May Investor Day event. Concurrently, we are working with McKinsey & Company to complete a thorough evaluation of all the franchises within our business portfolio. We expect this will lead to a set of strategies that guide Haemonetics to deliver consistent revenue and earnings growth over a sustained period of time. Our Board of Directors met about 10 days ago for a complete update on this business portfolio review. This process with the Board is also moving along well. It is likely that we will complete this work before our May Investor Day event so that we can share the results with all of you at that time. We feel strongly that the concurrent pursuit of these initiatives, the CEO search and the assessment of our portfolio growth opportunities is critically important. Our mission is to put Haemonetics on the path to sustainable and differentiated top and bottom line growth as soon as possible. Regarding our May Investor Day event, we've scheduled it for Tuesday, May 10 in Boston, and we will have more details out to everyone soon. We sincerely hope you will mark your calendar and join us. Finally, I thank our employees for their dedication to the needs of our customers and the donors and patients we serve. Their commitments give me really optimism about turning our potential into better performance. With that we are happy to take your questions. 
Operator: [Operator Instructions] And our first question comes from the line of James Francescone with Morgan Stanley. Your line is now open.
James Francescone: Hey, good morning and thanks for taking the question. So with 4% growth this quarter you had the strongest results since March of 2013, and as you think about the business and where it stands today heading into 2017, to what extent do you think that growth of these results at these rates is sustainable? And what are some of the puts and takes that could either one drive faster growth, or two conversely drag it back down as we head into 2017?
Chris Lindop : Well, some of the elements James that I covered in the tail end of my comments certainly present headwinds and putting aside currency because we are talking about constant currency growth rate. We know that we have made concessions and loss market share in North American red cells and we quantify that as an earnings impact you can imagine that there is a revenue impact associated with that. And we've also highlighted our concerns about the ongoing trend in Japan regarding double dose collection. Those are two obvious items that will factor into our thinking about growth rates which will be considered in 2017. 
James Francescone: Okay. And just to push on that point a bit more, Chris, I thought that I heard a couple of things change on your comments again at the tail end of your prepared remarks about 2017 relative to last quarter and I think one you identified which is the continuation of whole blood declines. Am I right in perceiving that that has gotten a bit worse? Two, am I right in perceiving that you are now mentioning platelet conversions, double collections where you weren't before? And then finally you say that you expect strong growth in TEG but I didn't hear you commit to that very specific 25% target that you laid out last quarter.
Chris Lindop : Good listening and so I would say taking your points one by one, whole blood we are year-to-date we are seeing end market demand, remember this is a North American phenomenon more than anything else, down about 6% as we measure it with our customers which is represented the sample of the market. And that is slowing but it is not trending back to zero yet and until we see it getting close to equilibrium we are still calling it down next year. That's not a major factor in our overall growth is because that business itself is only 7% of our revenues. But it's a factor, no question. With regard to platelets, we are giving a little bit more color on the Japan situation as we see the penetration of double dose. That was covered last quarterly call and I just added into my list of things to pay attention to as we move into 2017. And I know we continue to feel very bullish about TEG, it's all to do I think with the pace of the LMR and moving into full market conversion. And it's only that they would give us a moment's pause not any concerns about it not having strong double dose potential, a strong double digit potential going forward. Did that answer your question? 
James Francescone: Absolutely, very clear. Thank you, Chris.
Operator: And our next question comes from the line of Larry Solow with CJS Securities. Your line is now open.
Larry Solow: Hi, good morning. Clearly your strategic directions or to look across the P&L is progressing. Just wondering if you can just tell me maybe discusses the decision to discontinue SOLX. And I sort of gathered that I know whole blood, the whole strategy there has not been clearly not optimal from what we thought three years ago but was that decision, was that based on an overall outlook of what you plan to do with whole blood or what kind of made you came to the reality that SOLX is just not going to fit into your plan?
Chris Lindop : Well, we came to a critical juncture in our evaluation of the technology after we got approval for SOLX with whole blood filter. And what we knew at that moment in time was that the market had trended -- the whole blood market in North America trended heavily towards red cell filtration and so that there was an additional development that required and whenever you make a decision about committing incremental capital and resources towards a long-term development project, you have to ask yourself has anything changed in the market and so we went back out and talked to the customers about the prospect for the product and their willingness to pay for it. And their feedback was no positive. And so we made what I think is a rational business decision. 
Larry Solow: Okay. Just shifting gears real quick as a second question just on plasma, it seems like saline is a little bit less than expected this quarter. I think it was also first stock coming out toward the latter part of the quarter anyhow. So it sounds like the underlying market ex saline for you is actually doing a little bit better. Is that fair to say?
Chris Lindop : Yes. We had a good quarter in consumables in North America. 
Operator: And our next question comes from the line of Brian Weinstein with William Blair. Your line is now open.
Matt Larew: Hi, good morning. This is Matt in for Brian. Maybe just the first one could you talk a little bit about the weakness in other part of the software portfolio and what are the key elements too as we move in to 2017 really starting to see some growth in that business? 
Kent Davies : Yes, thanks, Matt. It's Kent here. So we had -- we've reasonable growth in the software business about 2% up in the quarter and within that we are obviously pleased to see the momentum in BloodTrack HaemoBank which performed both in the US and in Europe and also to see the developing pipeline for that business for which we've had great hopes for sometime. We continue to believe that BloodTrack HaemoBank is positive part of our future and that the hospital software surrounding that asset is an important part of the future for the business. Clearly current activity is a strategic asset for the company and emerging core confidence certainly also the price of admission in the medical device space and we think we got some strong resources there. We are looking at the entire portfolio of software as we look at the entire portfolio across the company. I think we will be able to parse this for you for clearly in our May Investor Day. 
Matt Larew: Okay, thanks, Kent. And then just jumping back into the discussion on platelet collection in Japan. I think last quarter you mentioned about 10% was double dose and thought I heard you say 15% so it seems like maybe the something that is evolving rapidly. Could you just discuss what percentage of overall platelet business is at risk and what would your response be if this trend continues to evolve this rapidly? 
Kent Davies : Yes. So one of the things that we've already done to directly respond to this trend is to put in place a new commercial relationship with our major customer in Japan. And that is actually works to our benefit; certainly we've gained share and likely significant share in the single dose segment in Japan. And that's the part of the market that we can control most directly. We do expect this to continue to progress at some rate. I think our ability to control, it has to do with our ability to react on a commercial level as well as with product and technology and we are certainly focused on doing both of those things everyday in this business. 
Operator: Thank you. And our next question comes from the lines of David Roman with Goldman Sachs. Your line is now open. 
Candice : Hi, this is actually Candice is calling and filling in for David. I just wanted to piggyback on the HaemoBank sales and you seemed to be positive on that still. But has that changed at all in terms of another year? Software guidance has revised down by how much of an offset did you expect that to happen and maybe did not see that or what is that look like going forward?
Kent Davies : I think we talked about it, this is Kent again. I think we talked about that in the last quarterly call certainly on the call back after that event and said that we had been quite optimistic in building our plan for this year and certain of that had been software and we thought in fact we had been a too optimistic about building that outlook for the software business. A lot of that had to do with the rate of growth and our ability to generate immediate traction with a new product while tracking HaemoBank which we were then and continue to be relatively confident and it is proven that's pipeline development is bit slower than we expected although that pipeline is developing and again we had very encouraging growth in Europe and in North America for the BloodTrack HaemoBank suite of solutions in the quarter. So we are going to continue to push and do the things that put us in that position to deliver Q3. Hopefully we will see similar things from that part of the portfolio in Q4 and going forward and again as we said we are reviewing our entire software portfolio as part of the larger portfolio review for the company. 
Candice : Okay, that's great, thank you, very helpful. And one last question on China. You seem still very positive on growth in that area. Do you still believe you can achieve the double digit growth over the course of the year? 
Kent Davies : Yes. We are certainly doing everything we can to sustain our rate of growth in that market we had 9% constant currency disposables growth in Q3, 10% year-to-date and now anticipating a strong close to the year. Platelet market is good, the TEG market is good, the government seems to continued to be supporting the growth and development of the healthcare industry and we are doing everything we can everyday on the ground to deliver ongoing results from China. 
Operator: Our next question from the line of Anthony Petrone with Jefferies. Your line is now open.
Anthony Petrone: Thanks and good morning. Maybe just to begin with just some of the impairment charges in the quarter. I'm just trying to get a sense of going forward; I mean even from a signaling standpoint should we expect something more strategic for whole blood specifically going forward? And then in addition to that should we expect additional goodwill write-downs going forward and then one follow up. 
Chris Lindop : Anthony, as I said the actual actions we took in the quarter were unrelated to our portfolio review. And so whenever we are looking at a portfolio review that is a possibility that I can't eliminate completely but what we end up doing specifically with regard to goodwill is annually we have a moment in time that we sat with our auditors and with our Board for an evaluation and that for us is first day of fourth quarter and that come shortly after the finalization of our strategic plan. We organize ourselves by if you will geographic operating units and that is the basis upon which we do the evaluation against long-term cash flow projections and this year it just got closer on an intuitive test and so we did a more thorough review to get down a level to some appraisal work with third parties and came to this conclusion with our auditors and this is an estimate at the moment because we know that there is second step analysis that needs to be done. And so it's possible that there would be tail to this but we will update you when we know more. 
Anthony Petrone: All right. And then one follow-up would just be on really R&D investments as you look to 2017. And so I think some of the focus will shift towards reinvestments into the growth areas of the business so specifically plasma and TEG. It looks like R&D was down here a little bit and you gave some indication of 2017 but certainly not on that front. So where do you expect R&D to go from here and at what point will you begin to reinvest in some of the areas of the business? Thanks.
Chris Lindop : Well, in fact on an adjusted basis the R&D was up about $1 million this quarter. And so sometimes the charges which are limited from the GAAP results can skew that trend. We are focusing our R&D very much on plasma and TEG, both of these are obviously areas where we have new product introductions that are easily identified and we talked about a lot. You can imagine that's a big focus of our spending and we will continue to do that going forward because these are very opportunistic and positive portfolios for our business. 
Operator: Thank you. And our next question comes from the line of Larry Keusch with Raymond James. Your line is now open.
Larry Keusch: Yes, hi. Good morning. Chris, I just want to -- I'm not sure if I have this correct but did you increase the VCC spent? It looks like maybe by $7-ish million and if that is correct, are you still on track for the run rate savings that you are talking about I guess $50 million in 2017 and $65 million by 2018?
Chris Lindop : Did increase the spend nominally, Larry, good observation. In terms of being on track all of the major moves that we've talked about making started I would say we are slightly delayed on the Scottish closure as we look forward because that involves a transition to Malaysia. That's more to do with labeling and having product available with the right label for the different countries around the world than anything else. But in terms of the overall savings is really hard to comment on the future savings from VCC at this moment in time when we are doing this strategic review, I mean all of our franchises are under review and I think when we know the answer to that we will know much more about the shape of our manufacturing platform. 
Larry Keusch: Okay, that is helpful. And then just two other ones. Just coming back on TEG again if my numbers are right I think you did about 18% growth in the third quarter and around 21% at the nine months. So I recognize that you are balancing the launch of TEG's success and trying to keep customers engaged in using the 5000, et cetera. So I know there is a bunch of cross currents going on. But I think there is at least this 25% growth bogie that has been suggested out there and again I just wanted to come back and see if there was anything that was changing that would cause you to deviate from that growth objective?
Kent Davies : Hey, Larry, it's Kent here. So the short answer is no, nothing changing for a long-term view for TEG. And as we've said a few times in a few different ways in this call, we are pleased with our performing with TEG right now. Disposables growth was 21% for the year-to-date. We think we are on track to deliver our long-term goal which is we look at it is more than doubling the TEG business throughout our five year plan period. And that continues the TEG success limited market release is ongoing. We've had excellent feedback from our users about the functionality of the device and cartridges in their hands and goal of that tells us we are right on track and the extent to we've implemented our new TEG Manager software which is now been at multiple locations, we are also having great feedback on the value and utility of a software overlay for the suite of solutions. So TEG is moving in the right direction. 
Larry Keusch: Okay. And then last one and this is really just sort of a big picture question. Obviously, it is great to hear that the Board and the senior management are undertaking this portfolio review. I think it is something that has probably been necessary for a long time and maybe the key operative word here is really a comprehensive portfolio review. But I wanted to just get a sense of how broad are you willing to look and are you willing at the end of this review to potentially make decisions about pruning the portfolio? And maybe in some businesses that Haemonetics has been in for a long, long time and is associated with, I just wanted to get some understanding of really how deep are you willing to go on this process?
Ron Gelbman : Hi, Larry. It's Ron Gelbman. As I’ve said before everything is on the table. We are willing to look at everything in as much depth as you would expect. And we are not married to any portfolio or any particular strategy. We just wanted to get the company back growing top line and bottom line. 
Operator: And our next question comes from the line of Jim Sidoti with Sidoti & Co. Your line is now open.
Jim Sidoti: Good morning. Can you hear me? Great. Little bit of a different topic but I am sure you are aware that the FDA is reviewing changing some of the rules for blood donations because of the Zika virus and possibly banning donations from people who have recently been to Central and South America. Do you think this could have any impact on your business here?
Kent Davies : Hey, Jim, it's Kent. So we don't expect much impact at all. Yes, we are certainly well aware that the FDA is reviewing their policy as we look at this virus and information that we have says that this is a virus that stays in the blood stream very briefly and that most people who contract the virus have it out of their system within about one week. We have not seen any evidence today that this is a transfusion, transmissible virus. In theory it could be and if in fact it is proven to be there is a number of different ways that this can be addressed. One of course screening of donors with the test, we are not aware of a specific test for the Zika virus at this time. Most likely what's going to happen is that they are going to screen on travel history and that could be implemented very quickly. So we are not expecting an impact on our business although we are certainly well aware and are watching the situation closely. 
Jim Sidoti: All right. And then it doesn't sound like you bought any stock back during the third quarter. Do you still have funds available and what is your thinking there? 
Chris Lindop : Well, Jim, we didn't -- we tend to get a mandate from the Board around the time that we formulate our annual operating plan which includes a capital plan. And so we had a $100 million mandate which we finished up and that we are moving deliberately through our planning process and we'll update you on that when we give you guidance for next year which is currently expected to be around about Investor Day in May. 
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Jan Wald with The Benchmark Company. Your line is now open.
Jan Wald: Hi, good morning, everyone. I guess I really only had one question left and it is kind of a big picture question kind of like what Larry was asking about. But it is related to the software business you have. It seems to me that what you are trying to do is sell sort of a productivity solution maybe in an environment that is more concerned about pricing right now. And even though you have BloodTrack that may be doing better, what kind of environment are you selling into and how receptive is the market to those kinds of products that you are trying to sell? I would really be interested in knowing.
Kent Davies : Hey, Jan, it's Kent here. I think that's a good question and the response that we get in the value that a customer places on a software solution really depends on the direct benefit that product provides as well as the environment within their market space. And I think that's why this part of the business in fact the entire business is so ready for a portfolio review at this time. We know as an example that in our plasma segment the customers are extremely anxious to bring on board our new software solutions. We know that our connectivity capabilities are highly valued and as I said earlier really the price of admission in the medical device based these days and we believe we have a great capability. What we are doing is going through the entire portfolio of end markets of software solutions that the company has to face those end market. Then we are asking ourselves the same question that you are asking us. And we expect that to be part of the backdrop for our May Investor Day event. But generally we remain optimistic and bullish on software as a differentiating capability for the company while we are looking at it through a more discreet and potentially selective lens. We still think it's a real asset and a real differentiator for Haemonetics. 
Operator: Thank you. And our next question comes from the line of Michael Petusky with Barrington Research. Your line is now open. 
Michael Petusky: Hi, good morning. Just a quick one on Russia, is essentially the situation there that there is not a whole lot you can do as long as oil is where it is and the economy as a result continues to be soft? Or are there steps that you guys are taking or can take that can really meaningfully change that situation in the near term? Thanks. 
Kent Davies : Yes, Mike. Well, Kent again here. Well, in some ways yes and in some ways no. The macro economy is the major driver and we are absolutely operating in the context of a very troubled economy. And it has not gotten better. And our overall results are highly unlikely to improve significantly until the economy begins to change in that discreet part of our business. But we are doing things and we are doing things everyday in that market to make it better diversifying our distribution base both within the country and within the region. And growing in our hospital market which hasn't traditionally been an area of focus or strength for our company. This new market context has provided an opportunity for us to look in different places and has been quite fruitful in establishing a platform for growth and some good results in the hospital business, again a new part of our portfolio in that region. 
Operator: I am not showing any further questions at this time. I'd now like to hand the call back to Mr. Ron Gelbman, Chief Executive Officer for any closing remarks. 
Ron Gelbman : Thank you again to all of you and the process for our strategic review continues and we hope to have a lot more information for you at the May Investor event and we hope to see you there. Thank you again. 